Operator: Good day, ladies and gentlemen, and welcome to the Q1 2012 Tenaris SA Earnings Conference Call. My name is Karen and I’ll be your operator for today. At this time, all participants are in a listen-only mode and we will conduct a question-and-answer session towards the end of this conference. (Operator Instructions) I would like to remind that this call is being recorded for replay purposes. I’d like to turn the call over to Giovanni Sardagna, the Investor Relations Director. Please proceed sir.
Giovanni Sardagna: Thank you Karen and welcome to Tenaris 2012 first quarter conference call. Before we start, I would like to remind you as usual that we will be discussing forward-looking information in the call and that our actual results may vary from those expressed or implied here-in. Factors that could affect those results include those mentioned in the company’s 20-F and other documents filed with the SEC. With me on the call today are Paolo Rocca, our Chairman and CEO; Guillermo Vogel, Vice President of Finance and Member of our Board of Directors. Ricardo Soler, our Chief Financial Officer; Alejandro Lammertyn, the Managing Director of our Eastern Hemisphere Corporation; and joining us from Huston, Germán Curá, the Managing Director of our North American Operation. Before passing over the call to Paolo for his opening remarks, I would like to briefly comment our quarterly results. During first quarter of 2012, sales increased 13% to $2.6 billion compared to $2.3 billion recorded in the first quarter of last year. However as anticipated last quarter they decreased 5% sequentially as sales were impacted by lower pipe shipments or HPI and pipe line in addition to lower OCTG shipments in Columbia and Saudi Arabia. Our EBITDA for the quarter reached 700 million, which was 26% higher than the corresponding quarter of 2011 and 2% higher sequentially. Our EBITDA margin continued to improve reaching 27% due to lower raw material cost and plant our location efficient. Average selling prices in our Tubes operating segments were up 8% compared to the corresponding quarter of last, but flat sequentially. During the quarter, our sales of high-end seamless products remained stable at 54% of our total seamless volume, but are expected to be higher during the coming quarters of the year. During the quarter, cash provided by our operating activities was over 600 million allowing our net cash position to decrease by just 65 million to almost 160 million after investing more than 500 million in (inaudible) and almost 200 million in capital spend. Now, I will ask Paolo to say a few words before we open the call to questions.
Paolo Rocca: Thank you, very much Giovanni, and good morning to all of you. This quarter also our sales in shipment came in lower sequentially. We were able to increase our operating income and margin. Thanks to a more efficient cost performance. In the coming quarter we are confident that we can maintain these levels of operating margin on a higher level of sales. Our sales in North America rose 10% sequentially during the quarter and accounted for 56% of our two operating segments sales, and 52% of our total sales. We are being improving our performance in North America at all levels. This quarter our heat man Mill in Kansas produced a record level of heat treated product our McCarty premium facility in Houston spread a record level of premium joint. And our raw materials business in Canada produced a record level of seamless product. This production record was by substantial reduction in the injury frequency rate in our U.S. mills and reflected the investment we have made in the plants. The increase in our North American sales also reflect product mix improvement. With the recovery in the Gulf of Mexico and the expansion of shale activity we are selling more premium product and most our welded OCTG product today are heat treated. Our new (inaudible) 625 premium connection design specifically for complex sales application has had further success Eagle Ford. In Canada also we have expansion of thermal project sales of premium product has increased. This year the spring break up was earlier than last year. But our sales during this quarter were significantly higher than the corresponding quarter of last year. In South America our sales were affected by the temporary renegotiation of rig construct by eco patrolling Colombia, demand in Colombia is grown rapidly in the – and we are confident that we favorable condition for investment and more than 80 company involve in operation activity, in production activity, the market we continue to grow. In (inaudible) we announced a 200 million investment program to expand the capacity of our mill, to produce higher value product and better serve the Colombia market for welded and seamless product, and our sales this quarter were affected by a low level of shipment of line pipe for offshore and HPI project. In addition, sales of ore strategy to Saudi Arabia were lower following (inaudible) stocking of premium product last year. However, in the coming quarter we are seeing a good level of activity in this time of year and we expect higher sale during the year. Our customer in North Sea, are increasingly recognizing the benefit of using our Dopeless technology over 80% of new order for the North Sea are for Dopeless product. The use of this technology is also advancing in other offshore region such as Sub-Sahara and Africa. Additionally, we received our first order in the eastern hemisphere for the new wedge 625 connection to be used in Pakistan. This product will account for an increasing proportions of our sales going forward. Two days ago, we announced the successful results of our offer to buy out the minority interest and released our Brazilian subsidiary contract. The transaction to get away the investment in it will strengthen our position to develop and supply the complex product required for the development of the Brazilian offshore industry. As a whole, it has been a solid quarter based on strong competitive positioning and good performance in our operation. We can open now the floor for questions.
Operator: Thank you. (Operator Instructions) The first question we have comes from the line of Bill Sanchez of Howard Weil. Please go ahead.
William Sanchez – Howard Weil: Thank you for taking my call. My question revolves around the operating margin guidance here as we look through the balance of 2012 clearly you guys had a nice pick up here better than we were anticipating for the first quarter, and I am just curious given what appears to us to continue to be a much better product mix which it help overall average selling prices I know you’ve benefited from lower raw material cost in the quarter, what do are we anticipating on the raw material cost side, is there an expectation that we see build there certainly that at least matches the better mix that we expect from a pricing standpoint, could you perhaps just talk a little bit about your outlook from that perspective?
Paolo Rocca: Well thank you Dave for your question. The – on the raw material cost we do not see major change. We assume some level more or less in line with what we have today maybe we will have some increase in the cost of hot rolled coils that is reflected today in our inventory that will come in our cost of sales in the next quarter but this will not be let’s anything too relevant. If we look in the rest of the year also my perception is that we will have and line item and to more or less in line with what we see today. Now the performance of our mill is improving and also the allocation of material taking into consideration the new mill in Mexico there is very efficient mill is improving in our cost of good is driving some improvement in our cost of goods sold and this is here to stay and hopefully also it could improve overtime while investment, we are taking full advantage of the investment realized.
William Sanchez – Howard Weil: Thanks for the color. My follow-up would be just around the geo markets here, if you will, you noted that you saw revenue up 10% in North America during the quarter, and saw the OCTG segments were down, I am assuming some of the perhaps was due to the downtime that you saw in the first quarter, but as we think about the growing rig count expectations international versus some more flattery kind of outlook in North America, should we start to see better contribution in terms of top line growth coming from the international markets as we move through 2012 relative to North America?
Ricardo Soler: Well I will say that we are expecting a gradual shift into a more complex mix even in North America because the investments realized in premium in heat treatment, in hick man will result in some improvement in our mix overtime. So we can expect this also in North America. In terms of outlook as you were saying, we expect some reduction in gas rates, set, be compensated by consistent increase in rigs devoted to oil and during 2012, rig outlook could be stable, but in the medium term, we should consider even a gradual increase in the condition of prices for oil remain the same and if there is some recovery later in the year or in 2013 of the price of that. Internationally, we consider gradual increase in the range of between 6% and 8% and also continue to drive or towards more premium product environment. As you know we consider that the increase in deepwater drilling will also drive some increase in our mix. So this is what we have, let say gradually getting into our number during the right of 2012.
William Sanchez – Howard Weil: Okay. And just I am unclear is my assumption that the Saudi Arabia OCTG shipments being down was that a function of the down time in the Saudroca mill during the first quarter, was there something else at work there?
Paolo Rocca: No. I think the slowdown is follow-up of the strong stocking of Saudi Aramco, but I will ask Alejandro to comment on the perspective of demand of activity and upper end demand in Saudi Aramco for 2012 and ‘13.
Alejandro Lammertyn: Yes. As we have seen Aramco has been purchasing, tailoring last year and we have delivered all their requirements of deep guard during the last two quarters of 2011. This has coming to stock build-up in Aramco we are going to receive and we are going to level during the next quarter but not at the same rate that we have been delivering in 2011. We had also seen activities in new exploration areas like deepwater red sea but we also been awarded. So, in terms we are not going to see a Aramco that we saw in the last two quarters. We are going to see Aramco at lower level during 2012 because of this stock situation. The rigs also have been stabilizing at the 30 rigs considering also the work –- month in this level we think that we’re going to maintain this level in the future. You’re going to see also an increase in our sales in the Eastern Hemisphere and particularly in the mainly due to Iraq where we have – the activity has been picking up particularly ENI restarted heavily in their (inaudible) operation have, we are going to deliver all their requirements through, direct to ENI and through the service company.
William Sanchez – Howard Weil: Thanks again for the time, I will turn it back.
Operator: Thank you. Next question comes from the line of (inaudible) from Siemens. Please go ahead.
Unidentified Analyst: All right. Thank you for taking my question. I wonder if you could talk a little bit about your visibility for the growth, the volume growth that you see from Q1 into Q2 for seamless versus (inaudible) even the projects as well. Any comments you might have with regard to the relative growth trajectory for each of those being with those as well that over the course of this year if you didn’t if you didn’t look up that far? Thanks.
Paolo Rocca: Well that we are seeing – we expect gradual increase in volume in basically in seamless during the next quarter there will an increase in this quarter the mix between welded and seamless has been driven let’s say more in favor of oil that this will probably change in the next quarter in favor of seamless. Hen if we look at let’s say the rest of the year we should be quite stable, other point but this is what we are expecting. The operational production investment of the company will increase during 2012 in the range of 15% as a whole and consider inflation in the cost of different materials; this will drive and should drive a relative increase also on our sales.
Unidentified Analyst: Thank you. My phone is cracking up, so I am going to pass it over and I’ll follow up off line. Thank you.
Operator: Thanks for your question. Next question comes from the line of Rafel (inaudible) please proceed.
Unidentified Analyst: Yeah hi good morning thank you for taking my question. The first one I had was on pricing could you update us on how that’s successful you’ve been in the renegotiation of your contracts upturn and deconnection of the pricing from the Pipe Logix?
Paolo Rocca: Well, how I see the pricing. We mentioned this during the last conference call. This is very different market in the low end area of in the more differentiated area. I’d say that in terms of price, we do not expect major change during 2012. Some advantage will come from us from the mix, but we do not expect major change. Basically we expect an environment in which cost will be substantially stable and pricing will stay there. Apart from niche of specialty product in which there could be demand – strong demand, but this is relatively small in sizes and will not have a such big influence of our operations. As far as the decoupling with Pipe Logix is concern, Pipe Logix has adjusted his mix, but I will ask Germán to comment on how we see let’s say the dynamic of Pipe Logix and the dynamic of our prices because this is especially through for concerning for North America.
Ricardo Soler: Thank you, Paolo and in fact this is where we are looking at it. I think Pipe Logix, despite some mix changes that they have done in the last quarter still reflect certainly well, the dynamics or the pricing dynamics of the low end segment in the states which as we all have discussed in the past, if we believe so and so by a big import numbers particularly from Korea, where I said a high-end level premium connection levels, Gulf of Mexico premium connection pricing the situation is purely a lot more driven by a strong situation than not. So I wouldn’t really align the pricing strategy that we do on high-end levels in North America anywhere near to how it evolves. That’s answer the question.
Unidentified Analyst: Okay. Thank you very much. That’s very clear. The other question I had was regarding your strategy in Brazil after the recent announcement and as of today could you tell us how much OCTG sales, you – and whether you see room for significant market share gains of other medium term? Thanks.
Paolo Rocca: Well. As we mentioned we consider the development offshore in Brazil is one of the key development worldwide and we participate in this development first of all to project pipeline production in (inaudible) and also in OCTG in all of the larger diameter and to some extent also in premium connection on our welded pipe with our technology. The technology of Tenaris Blue and the technology that we are using in deepwater application. The action we have taken is on one side the investment, it is allowing have to consolidate with strong supplier of plates, coils and so to integrate to some extent and to strengthen the position of concept in terms of time, in term of product development for the more demanding application and this will let’s say close a gap that we pursue in our positioning in Brazil. The second action is been investment for the delisting of (inaudible). We successfully – we have been successful in our offer. So the company will be de-listed within this month’s will be fully integrated to Tenaris, this will allow us a much closer integration in on every front from supply chain, research and development, product and human resources and all other aspect that could prepare as the full operational Tenaris in the development of offer. The share of OCTG is shifting, we have a market share that is important in the range of 20%. This has been also historically so, we plan to – to be able to maintain this even the environment which the volume could be increasing. Every quarter this could change because project are ups and down. For instance in this quarter, project has been relatively weak but in the rest of the year we expect the project business in Brazil also to recovery. So this is where we stand.
Unidentified Analyst: Okay. Thank you very much that’s very clear, thanks.
Operator: Thanks for your question. Next question comes from the line of Marcus Sequeira of Deutsche Bank. Your line open, please proceed.
Marcus Sequeira – Deutsche Bank: Thank you very much for taking my questions. I have actually two questions, one could you comment about the dynamics of the new of upcoming supply of seamless products, new plants globally and if you think that is it Chinese or the other producer Korean they could at some point be a treat in the high end market as well and also if you comment on or more on the situation North America or specially in Argentina given the current or the recent developments there if you have seen there was any risk for your business in Argentina? Thank you.
Paolo Rocca: Well the first question let’s say the overall worldwide market for let’s say for seamless and OCTG pipe this is a market that is growing over time you can see these growing differentially between the premium product and the more standard product. You can expect the less demanding application to grow at compound annual growth rate in the rage of 4% and the premium market to grow in a range of around 9%. So gradually the shade of more differentiated market is increasing depending driven by the nature of the investment of the oil company. China is also spending capacity. There is a clear over capacity in China, in the low end market and this is for sure effecting and competing with some of our business especially in Southeast Asia, but also in other part. Korea as we were mentioning is clearly competing strongly in welded pipes, for instance in other states, but in the low end part of the market. Most of the material, they are moving is non heat treated material into the United States. Clearly we have no pricing power there. We pursue the excess capacity, but this is only a part of the story. If we look at the overall positioning of Tenaris, really Tenaris is made up of a substantial position in high end product and of niches in which we can differentiate ourselves on product and service, on industrial excellence and in value added on this. Will this scenario change? I don’t think so. I think that the excess capacity in the low end business will be compelling for the coming year. Will Chinese Korean be able to be very consistent in entering into the high end part of the markets? From my point of view this – the answer up to now is no, that is they have long way to go in many of the segment of high end before they can face the demand and the complexity of that today project are requiring and accommodate let say respond to the requirement of consistency and risk management that the oil company are asking from the industry today, especially in environment like the deepwater or premium or high pressure, high temperature complex application. As far as the decision on Argentina, (inaudible) not effecting our activity we are operating absolutely normally. Our plans are – I mean, we are realizing the investment that we are – we were planning for the upgrading of the plant in Argentina. We have plan of investment in Siderca that we are carrying on actually and from Argentina we are supplying our operation all around the world. For time being we have no, nothing is affecting us and we do not thing these, there will be any changes in the present situation. As far as the dynamic of the Argentina market and the exploitation, let say the exploration production activity in Argentina is concerned and independently from every changes that could be happening in the industry. What we see that Argentina has a very strong resource basis in shale’s for gas, for oil, gradually everybody is coming to let’s say understanding the size of the resources and what I think is that sooner or later this resources will be developed. So, we pursue this as an opportunity.
Marcus Sequeira – Deutsche Bank: Thank you very much.
Operator: Thank you for your question. Next question comes from Ole Slorer of Morgan Stanley. Please proceed.
Ole Slorer – Morgan Stanley: Thank you very much and thank you for the call. On the expansion on the premium as a percentage of the mix from 54% towards 60%. This sounds like this is going to be the biggest driver of the growth outlook. So, I wonder if you could just share a little bit more with us the mix of this expansion, is it driven by offshore or is it driven by travel services other than the any shell directed maybe changes. How would you kind of help us build a rolled map from 54 towards let’s say something higher?
Paolo Rocca: Thank you Ole for the question. I think he is really something that we see going on in every segments. It’s clearly a strong driver in North America. It is so in offshore worldwide. We’ll see this from the North Sea to West Africa to South East Asia. It also depends on the fact that maybe where attracting from some of the low end application and so the share of premium is increasing in our mix because in the end the market that is growing without concentration on this. It is also driven by increase in premium demand in Mexico in any other country of Latin America. So I would say it’s something that is spread across all of our regions, where today as you were saying in the range of 54 but thanks to investment realized and the increased capability and the penetration of our technology in the different segment this will increase. We hope to arrive soon at 60% and we are continuously planning on how to bring this percentage higher and to increase in absolute term the – our sales in this segment and also percentage wise.
Ole Slorer – Morgan Stanley: Could you talk a little bit about how the industry is responding with respect to capacity, I mean you are building in Mexico, Veracruz is adding in Brazil and then in the U.S. what else is going on and how do you see the capacity or how do you see that your market share of the premium markets is developing over the next quarter?
Paolo Rocca: We are seeing there are there is a capacity addition but capacity as I mentioned in the last conference call is different when you talk about capacity of rolling or treatment of the premium. If we really think of the capacity that is competing with us in the high end part of the market. The additional – relatively limited to the one that you mentioned and few other. Today in China, there is additional capacity and plans will be commissioned during 2012 and 2013, China has impressive overall capacity till today and this will get even more dramatic in 2013, and you will see these reflected in the results, all the – not only the pipe related companies, but the steel companies in China. In the fourth quarter of last year had an overall EBITDA ratio, that is incredibly low, and the registering losses because of this. They are competing however into a space. There is the space of low end, most of this in continental and within China. And this excess capacity is not spreading out into high end product even in the region. Think that we are putting some – have a good business in China, supplying offshore, complex applications, the risky application. And we continue in spite of the dropdown in China and selling to China with important margin, specialty product or product that are let’s say premium, some of them finished in our plant in China. Some of them finished abroad. So this is what we see. I think there is a long way to go because before this excess capacity in low-end may translate you know additional pressure in the premium segment.
Ole Slorer – Morgan Stanley: So you see your market share in the premium increasing, being maintained or decreasing over the next say 12 to 18....?
Ricardo Soler: We are increasing our market share, because you know, market that is increasing by 9% in this moment we are capturing, let say, a higher share of the new market compared to our competitor. This is thanks to the technology, thanks to the capacity and the reliability and the consistency and lead time, the ability to react. In this moment we are increasing our share and this will go on during 2012.
Ole Slorer – Morgan Stanley: Thank you very much, (inaudible) thank you so much.
Operator: Thank you for your question. Next question comes from the line of Stephen Gengaro of Sterne, Agee. Please go ahead.
Stephen Gengaro – Sterne Agee: Thanks, good morning, good afternoon, gentlemen. I was on the call little way to apologize if you address this, can you talk a little bit about corporate, the SG&A line this quarter and kind of how we should think about that going forward, it was fairly low versus our expectations?
Paolo Rocca: Yes. The – I would ask Ricardo to comment, because, now we were anticipating some reduction in this, where we stay now and where you think we can stand in SG&A in the future.
Ricardo Soler: For the some reason this quarter 70% but is in line I would say with our forecast for the rest of the year. I would say we would – year in this level in relation to SG&A 17%.
Stephen Gengaro – Sterne Agee: This is what we expect from SG&A around 17%?
Ricardo Soler: Yeah last quarter was a little bit higher because we had some one charge higher amortization but this is in line with the expectations.
Stephen Gengaro – Sterne Agee: Okay. That’s helpful. And then it’s always been like – I know you can’t go into all this detail on the call for say, but it’s always been a little bit of a (inaudible) to try to figure out what your financial expense line is going to look like in any one quarter – or other financial but now that you had this shift in functional currency. Will that make that more predictable? Can you help us understand that a little bit?
Ricardo Soler: All right. It should make – because one of the main factor of variance in the financial result has been – difficult the variation in the currency in Mexico and in the other country. But – you see these types of standing that will stabilize more predictable financial results.
Paolo Rocca: Yes. Having only I would say if functional currency is different to the dollar in Brazil and euro I would say that this way we are limiting the changes – the big changes in the foreign exchange results.
Stephen Gengaro – Sterne Agee: And remind me, most of the other financial line – believe it’s the foreign currency exchanges but also some cross currency loans excreta, is that right?
Paolo Rocca: I would say that in the exchange transaction exchange rate transaction lines and in the relative result are all related to exchange rate and I would say that we are going to have some differences because in Brazil we are having results because of the revaluation of some investment that we have in U.S. dollar and this is compensated of course in the equity side of the balance, but at overall the financial interest income or the investment interest income and the interest expense line should be more with lower movements during the year.
Stephen Gengaro – Sterne Agee: That’s helpful. Thank you.
Operator: Thank you for your question. Next question comes from the line of Phillips Santos of JP Morgan. Please proceed.
Phillips Santos – JP Morgan: Good morning gentlemen. I am having question about evolving strategy I am wondering how you are going to proceed through live up the sales in East Africa, China and Europe over the quarters since you saw the decrease this quarter, what is the long term strategy for the company for recovering sales there, since we are seeing like in Cleveland North America and how you are going to see through, what is the – strategy to run to increase your sales on your levels again?
Paolo Rocca: You are saying sales in Southeast Asia and China is this correct? Again that’s exactly the area that we were mentioning.
Phillips Santos – JP Morgan: Yes, the – on the long-term strategy for company sales and to have a view on how we – to proceed to have an increasing sales in East Africa (inaudible) all the places that we kind of the previous quarter, or the company struck in long run to have an increase of the sales in big markets?
Paolo Rocca: Well, I think from our eastern hemisphere area, we have action in all of the countries and every each of them – in every country we have let’s say a defined strategy that combined, product development, service positioning the phase of our competitor and in many of the region we are having local value added to be able to fulfill the demand of this. This is through for all of our Africa, East Africa, West Africa, the Middle East, India, Russia, Caspian continental Europe and Northern Sea and all the region of Malaysia, Indonesia, Australia, China and Japan. I mean Tenaris is a large company. We have a very global projection. We managed this from Dubai. I think Alejandro, you can give some indication of the priority and the target that we have in some of the region. Some example of the initiative derivative.
Ricardo Soler: Yes. So our overall peak, as we mentioned before the fact on the shipments first quarter the stoppage in some mills made also less shipments to this region. As an overall picture we see growth in 2012 the areas where we see the growth clearly in West Africa we see Nigeria recovering, Angola serving also new areas for development. We see the new areas of Ghana, Equatorial Guinea, we also growing. In the North Sea, we also see a very active Norway and Denmark, where we have an important market share there. We are also having HP projects in U.K. like adjusting with (inaudible). In the Middle East, as I mentioned before we have our growth in Iraq. Iraq will be a very important. We’ll also recover in Kuwait. Kuwait has not been buying in the last three years. And this year we see some growth in the case of Iraq we also have our base started delivering pipes in Barasa Northern Mela. And we also are working in Indonesia plant where we are more and more developing new projects with our just we receive new agreement with Chevron for Indonesia. So, I mean Australia we are also looking at growth opportunity not only in the OCTG but also in the line. So, in the overall picture we see growth clearly we had a very strong first quarter and in relative terms with the reduction of shipments in first quarter, there is a big difference but we see 2012 as a higher rate than 2011.
Phillips Santos – JP Morgan: Wonderful. Thank you very much.
Operator: Thank you for your question. We have no further questions at this time. (Operator Instructions)
Giovanni Sardagna: Well, if there are no additional questions we would like to thank you all for participating and this will – we will end the call now. Thank you.
Operator: Thank you. There is no further question. Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Have a good day.